Operator: Good day, ladies and gentlemen, and thank you standing by. Welcome to the NN Incorporated Second Quarter 2015 Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. [Operator Instructions] This conference is being recorded today, August 06, 2015. I would now like to turn the conference over to Mr. Robbie Atkinson. Please go ahead, Mr. Atkinson.
Robbie Atkinson: Thank you, operator. Good morning everyone and thanks for joining us. I'm Robbie Atkinson, Corporate Treasurer and Investor Relations Manager and on behalf of our team I'd like to welcome you to NN’s second quarter 2015 earnings conference call. Our presenters this morning are President and Chief Executive Officer, Richard Holder; and Senior Vice President and Chief Financial Officer, James Dorton. Also here is Tom Burwell, Vice President and Chief Accounting Officer. If anyone needs a copy of the press release or the supplemental presentation, please call the financial relations board at 212-827-3746 and they'll be happy to send you a copy. Before we begin, I'd ask that you take note of the cautionary language regarding forward-looking statements contained in today's press release, supplemental presentation and in the risk factor section of the company's 10-K for the year ended December 31, 2014. This same language applies to the comments made on today's conference call including the Q&A session, as well as the live webcast. Our presentation today will contain forward-looking statements regarding sales, margins, foreign exchange rates, cash flow, tax rate, acquisition synergies, future operating results, performance of our worldwide markets, and other topics. These statements should be used with caution and are subject to various risks and uncertainties, many of which are outside of the company's control. This presentation also includes certain non-GAAP measures as defined by SEC rules. A reconciliation of such non-GAAP measures is contained in the tables in the final section of the press release and the supplemental presentation. First, we'll give an update and overview of the quarter and then afterwards we’ll open up the line for questions. With that said, Rich, I’ll turn the call over to you.
Richard Holder: Thanks, Robbie, and good morning everyone. The second quarter was an exciting time in our company’s history. We successfully completed $182 million equity raise that saw our offerings would close at better than three times described. This offering was strategically critical as we repositioned our flexibility to execute on our acquisitions and the acquisition we have in our pipeline. Be advised, the assets of the announcement of the deal should not be interpreted as any sort of change in the execution of our acquisition pipeline. We continued the transformation of our plastics business with the focus on diversification and building a business that meets our operational and strategic expectations. The Caprock acquisition expands our engineering and manufacturing capabilities base while also increasing our general industrial presence with a focus on electrical and aerospace component end markets. This quarter, we were pleased with our overall performance. Excluding Brazil, our business continued to hit or exceed their targets. Net sales for the quarter and first half were in line with our expectations while foreign currency translation and economic conditions in Brazil massed our legacy businesses organic and adjacent market growth. Acquisitions contributed $64.3 million of net sales during the quarter and $126.3 million for the first half. We continue to integrate the acquired businesses in the second quarter and remain ahead of our synergy targets. Our European businesses remained strong in the second quarter and help offset some of the impacts of Brazil, and North America and Asia continue to meet our expectations. Specific to Asia, since we planned the region at a lower rate for the outset, we believe that the current market softness that we are seeing in Asia would still be in line with our full year plan. So we will a lot of edge from Asia at this stage of the game. During the second quarter, we saw further evidence of value created by the NN operating system. For the second quarter, excluding Brazil, this focus on disciplined execution and operational excellence drove an additional 50 basis points of improvement in our adjusted operating margins compared to Q1 as well as 240 basis point improvement in adjusted operating margins relative to Q4 2014. As we turn and look at the business groups and starting with the Autocam group, as I mentioned earlier, the Autocam integration remains ahead of plan and we are confident we will achieve our stated 15 million in synergies for the year. Within the APC Group, our North American and European operations continue to operate above our expectations with Asia performing as expected. Relative to the Brazilian economic conditions, we believe the actions taken by our team in Brazil and reduction that we made in our revenue guidance earlier this year will cover any and all changes in that business. It’s very important to note that we continue to believe and invest in the region, while some of our competitors have already made the decision to exit the area. Lastly, [indiscernible], our joint venture continues to deliver the expected net income to our bottom line and we remain very positive on the growth of the joint venture. As we turn to the MBC group, excluding the effect of foreign currency translation, our business continues to grow organically into adjacent markets. We continue to see new product platform wins within the business as we expand our offerings. Also, during the quarter, we continue to progress on our various customer outsourcing programs for tapered rollers and related components. As a highlight, the group’s adjusted operating margin expanded a 120 basis points to 13.6% compared to Q1 of this year. Finally, our plastics business, the second quarter was an important time in its transformation. We closed the Caprock acquisition and saw the operating margins expand 60 basis points to 5.1% compared to last year. With the Caprock acquisition, we expect those margins to continue to improve as the year goes on. With that, I’m going to turn it over to Jim to walk through the finals and I’ll return with the closing comments.
James Dorton: Thanks, Rich. Good morning everyone. As Rich said, the results of our second quarter were consistent with our expectations and we continue to work towards achieving the goals after strategic plan. We had adjusted earnings per share of $0.37 in the quarter with net sales $165 million. This was consistent with our revised plan for the year. Weakness in Brazil was offset by strength in U.S. and [indiscernible] demand in Europe and China. Adjusting for currency and excluding Brazil, we had growth in of all our businesses versus the previous year. The growth in our fuel efficiency technology components and adjacent markets are allowing NN to grow in a relatively flat market. Rich mentioned the Brazil guidance on June 18, we did revised revenue guidance for the weakness in the Brazilian economy and if you missed that press release, it’s on our website. Compared to Q2 of last year, adjusted EPS were up 12% from $0.33 to $0.37, this is including the weakness in Brazil. On a currency adjusted basis, the comparison is $0.33 last year to $0.42 this year or 27% actual increase. We calculate that our acquisitions from the past year were $0.11 per share accretive during the quarter. Regarding the impact of foreign exchange, you may recall that we revised our Euro exchange rate used in our 2015 guidance during the first quarter. So currency was not a significant factor in our results versus expectations. However, for the prior year comparison, the lower Euro rate reduced sales by $9.3 million and EPS by $0.05 per share. Gross margins were up 0.9% compared with Q2 of last year from 21% to 21.9% and we remain on track to achieve our strategic profitability targets. SG&A totaled $14 million for the quarter, up from $10.1 million for the same quarter last year. And this compares with the guidance we gave you last quarter that we would be at or little above $13 million in SG&A. We did have approximately $700,000 of M&A related costs in SG&A in the quarter and the rest of the increase came from SG&A added with our acquired companies and in increased administrative scale. We will have M&A cost again in the third quarter but we do not know the amount at this time. Adjusted operating margins were 9.7% during the quarter excluding Brazil which was in line with our expectations. This was a 0.8% improvement versus Q2 of last year. Our tax rate on adjusted income was 22% for the quarter, the same as in Q1. If you include non-operating items primarily the M&A costs, our rates would have been is 21.4%. The effective tax rate for the quarter is a result of the average of our tax rates around the world, there are no unusual adjustments to income taxes in this quarter. It’s just simply a fact that we have the lower pretax earnings in the high tax rate countries and higher earnings in the lower countries making the average come to 22%. We do now expect that the tax rate for the full year will be in the 23% to 25% range, which is down from our previous guidance of 26% to 28%. And going from GAAP earnings to adjusted earnings, we excluded two items for a net impact of $0.01 per share. The first item was we already mentioned approximately $700,000 in M&A related costs which was $436,000 after tax or $0.02 per share. The other item was the net impact of foreign exchange translation gains on intercompany loans of $232,000 after tax or a gain of $0.01 per share. For the quarter, we had positive free cash flow of approximately $13 million excluding what we spent on acquisitions. And this is following our normal first quarter negative cash flow due to seasonal working capital build. Capital spending totaled $7.8 million during the quarter and $16.2 million year-to-date which is in line with our plan. This is a similar phasing of our capital plan that as we had last year. The CapEx plan for 2015 remains unchanged at $45 million to $55 million and well over half of that is for growth projects on new business already secured for 2016. In the supplemental slide presentation posted on our website, we have shown a sales and operating profit margins on each of our business segments in the second quarter. In the Autocam Precision Components segment, sales were up $61.2 million due to the two acquisitions that occurred in 2014 and growth in new sales programs. Operating margins were well above last year at 11.8%, including the China – impact of the China JV versus 9.1% last year and this is due in part to solid performance in China. For the Metal Bearing Components segment, sales were $69.3 million down from $73 million last year, but this reduction is due to the translation effect of a weaker euro. Adjusting for the currency effect, sales were actually up 7.7%. Adjusted operating margins rose from 12% last year to 13.6% this year. In the Plastic and Rubber Components group, revenue was up 8% due primarily to the acquisition of the Caprock, a company that was partially included in the quarter. Operating margins improved from 4.9% to 5.5% and these margins will continue to improve as the full impact of the acquisition is felt. So just to summarize, the second quarter was in line with our expectations as revised for Brazil and excluding Brazil and the currency impacts, we had growth in all of our business. The reminder of the year appears to be solid and we are excited about a very active acquisition pipeline. That concludes my comments. Now back to Rich.
Richard Holder: Thanks, Jim. To conclude, the second quarter was in line with our expectations. Ex-Brazil and negative effect of currency translation, we remain on track to hit our organic and adjacent market growth numbers. The ramp of new platforms continued into the quarter as we began to see the results in our adjusted operating margins, as well as the continued effect of the NN operating system taking place. Three of our four geographies are performing at or above expectation and we remain focused on the visible execution of the business along with driving our performance in our end-markets and strategic growth. To close, I would like to thank my entire team for the focus and dedication during what has undoubtedly been one the most busiest quarters of [indiscernible]. With that, we will open it up for questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Daniel Moore with CJS Securities.
Daniel Moore: Good morning.
Richard Holder: Good morning, Dan.
Daniel Moore: In recent dialogues with investors, you’ve kind of broken the acquisition pipeline into plans A, B, and C, maybe just talk about are you still in discussions or in the running regarding plan A, maybe be discuss the range of potential deal sizes and how high you would be willing to go in terms of multiple for larger acquisitions?
Richard Holder: Yeah, I think obviously we are in discussion with all of the above, plan A, B and C. We are still very much deep in discussion around the A plan, which is a large deal more in line with humping around the size of an Autocam or maybe even a little larger. That is still in discussion. It’s still at the read. However, as I said multiple times, we have multiple contingency, so we are – we feel very secure that our pipeline in the efficient utilization of the cash we’ve recently raised.
Daniel Moore: Okay. Very good and then switching gears, you’ve also grown historically obviously by some of your larger customers outsourcing big pieces or chunks of their business. You update us on some of those opportunities you are exploring and whether or not we are likely to hear more on that front between now and year-end?
Richard Holder: Yeah, I think – I’m not sure if – between now and year-end, I’m not sure there is a lot more new programs to be captured in terms of the output. I think we are in execution mode. On the [indiscernible] side and it if for us, over the course of the next year, let’s call it, trying to drive in a $30-ish million chunk, which is only a part of what would be a potential $250 million program. Well, let me be clear, the program itself is $300 million where we would play is probably net – about half of that. The program is separated into rollers and also into range and not on the range of precision. So our market window if you will would be about $100 million in that. And I think the way to think about it is, it’s above $30 million over the course of the next year continuing into 17 and 18 and more than likely 18 because this is just a first wave of multiple programs that’s running out there. We have a few other customers that we feel confident that we secure the outsourcing program and we are working through the scheduling now to start to roll on those things into the business. So the NBC group will be very busy over the course of the next year in bringing those things in-house.
Daniel Moore: Very helpful. And then just maybe one more on the APC Autocam, the precision components. You mentioned new customers are ramping and hitting their operating targets as we got to the end of the quarter. What kind of expectations should we be thinking about for operating margins as we look out to Q3 and Q4?
Richard Holder: Well, I think the Autocam – well, let me explain that – now we’ve said many times that we’ve had new programs that we brought in and as those programs hit their optimum product volume and we sort of please all the quality issues with selling on the product. We have been looking at margins in the high-30s to mid-40s and we expected to hit those numbers middle of this year, we have in fact hit those number on those program. When we look at our current margin expectations around Autocam, I think – we think all in for the year, we probably be somewhere around 12, maybe slightly north of that, which is in line with the plan. So we are making up at least some – an operating perspective or an operating yield perspective, we are making up for Brazil because candidly Brazil was fairly profitable business as well and contributed quite a bit for the equation. So, short answer is, we think we will be somewhere around 12. We still think the overall company – if we do hit 10, I think we will be dangerously close to it where we are still standing for them. So we think APC, it’s well – we think and it will be somewhere around 10. We think NBC probably 39 to 41.
Daniel Moore: Very good. Thanks, again, I will get back in the queue.
Operator: We will go next to Justin Long with Stephens.
Justin Long: Thanks and good morning, guys.
Richard Holder: Good morning.
Justin Long: I think the seasonality of the business has changed a bit, pro forma for Autocam, so I was wondering how we should think about the sequential progression of revenue and operating income in the third and fourth quarter? Is there any additional color you could share on, at least the directional trends from here?
James Dorton: Yeah, hi, Justin. I think that overtime we still with the amount of business that we still have in Europe, we will always have that seasonal dip in Q3 and Q4 for the European business and some for the auto business. But this year in particular it should be much less pronounced because we have the programs ramping up, the new programs ramping up. And so, I think you will see much less seasonal dip in Q3, not really sure about Q4, but we assume it’s going to be barely equal quarters this year. But going forward, I think that we will still have that automotive and European regional change. This year just matched by the ramp up in new programs.
Justin Long: Okay, great. That’s helpful. Second question, Brazil and China are two areas where some of that macro data points have been weak, in order to better understand you near-term exposure, what’s the revenue and/or EBIT contribution you are assuming from both of those geographies in the back half of the year?
James Dorton: I am not sure we’re going to – we’d dive quite that deep but I will say that we cut Brazil by 50%, so we cut Brazil down by roughly $25 call it $30 million. So we cut that business in half. It only manifested itself in roughly $15 million on the cut because of the outperformance of the balance of the businesses which includes China. So in the first half, China outperformed we think the softness in the market of China is just going to bring it right back into line with our plan, so we think full year China will be right where we expected it to be. I don’t think we’ve given a specific number of Asia, but I will say on a net basis the effects that we feel around the economic condition really manifest itself as a call it a 20% reduction in Brazil on a net basis.
Justin Long: Okay. That’s helpful. And Rich, maybe this is one for you but I was wondering if you could just walk through some of the items that are on your check list as you evaluate acquisitions and kind of look at these three different potential plans, clearly a strategic focus as to diversify your end market exposure but from a financial perspective, are you targeting year one accretion, a certain return hurdle, a synergy amount. Could you just provide some more color on your typical financial framework for a deal?
Richard Holder: Okay. I think you said it well, right. I mean the number one hurdle is that a perfect strategic fit. We’ve talked about building out a diversified industrial having balance in the company. We’ve talked about the end markets, medical, general industrial with aero spacing and fluid power and those kinds of things. We’ve talked about that in some detail. When we look at the financials, we are targeting year one accretion. I will tell you quite a few of the properties in our pipeline is probably can be judged as immediately accretive, but certainly we are targeting year one accretion. We are targeting IRR rates typically somewhere starting with the two depending on the business we’ll flip down maybe slightly still work to be done in the business to get it where we wanted to be. We are targeting candidly some areas that are – that have a much more efficient capital model than we do so. So the range of cash generation is in our current pipeline is actually better than we have today right. Today, we have a business that’s about $0.70 on the dollar at peak production revenues. We are looking at things that are more like $0.40 to $0.50, maybe some as low as $0.20. So the cash generation model changes for us. We are stinging buyers to some degree at least we try to be, everything we’ve done so far has been something less than eight or less. We probably don’t have an appetite to get to the double digit plus for the right property, we probably go to nine or maybe into the nine but highly unlikely that we can find a scenario to go to double digits. I think that’s going to add to the nutshell.
Justin Long: Yeah. That’s all really helpful. I’ll pass it on and I appreciate the time.
Operator: We go next to Steve Barger with Keybanc Capital Markets.
Steve Barger: Hi. Good morning guys.
James Dorton: Hi, Steve. How are you doing?
Steve Barger: Rich, as it relates to Asia, you said you’ve planned for a lower production rate at the outset. Just to flush that out, we’ve heard some talks from some of the tier ones about production cuts to get inventory in line with demand over there. Just to confirm, your internal plan already anticipated that and is there any more detail on what you are hearing from customers in that region?
Richard Holder: Our internal plan initially, we planned at around 5% year-over-year growth and I think the numbers really macro economically in the street were 7.72% which by the way we saw it filling that in the first half and we saw that bump up but now we see that market return to it, but we think all in for the year it will come in be right around that 5% maybe 4.5% kind of number. So we think it’s well in line with our plan. When you think about inventory, we are in our operations in China both on the ball business as well as the APC business very close to the customer. So we have been making our inventory adjustments on a monthly basis and one of the benefits especially in the APC business of being in that JV is we have in a large amount of customer intelligence. So we don’t think barring collapse right, we’ve got to put that out there that we have much of an inventory issue on the APC side. I will tell you on the ball side, we are adjusting a little bit because in part we service Brazil from China part of that business. So when brought back the number in Brazil, it affected volume metrically China on the ball side. But we think we’ve kind of blood through that and we think we’re good on inventory going forward. So we are watching it like a hawk but right now today we think we are pretty much in line inventory wise in China.
Steve Barger: Thanks. That’s great color. And just to remind me that JV is a 100% auto?
Richard Holder: Yes.
Steve Barger: Okay. So based on what you can see right now, should we be thinking differently about JV income just from a modeling perspective as we go into the back half?
Richard Holder: No, not at all.
Steve Barger: Okay. Shifting gears to some other customers, going through earnings season as KS and Timken had weaker demand commentary for their broader business even though some of their auto I think was okay, any change to how you’re thinking about the direct relationship there and how do you think the bigger picture for those companies affects the pace of outsourcing initiatives?
Richard Holder: We don’t think there is much of a change. Again, we feel on a macro basis as they find themselves under let’s say a little bit more pressure for profitability, it’s helpful for us candidly because then what they do is they push us because we are candidly taking cost out of their business. Our issue will be, can we move as fast, is it wise for us to move as fast as they may want us to. But I think it’s helpful for our top line as they have to disaggregate and drive more profitability into the business. Now, when you think about the general end markets, as we look at our customers, again automotive has been fairly stable, fairly healthy. The big problem has been in general industrial and even more specifically those markets tied directly to oil and gas. Those are certainly something less than stellar right now. Fortunately for us, we didn’t have a lot of product, I think we would have 2% of our products going into oil and gas. So as older markets sort of dwindle down, we have less exposure to that demand hit. I chop that one up to better to be lucky than smart because – but we don’t have that exposure. So that’s part of the disconnect you see with their demand drop versus ours.
Steve Barger: Got it. I think in your prepared comments, you had alluded to some other outsourcing opportunities. Any idea of the size or how we should think about that understanding that there are nothing maybe singed yet.
Richard Holder: Actually we do have a deal that is roughly an additional $20 million deal over the course of the next two years with a Japanese bearing manufacturer which is amazing to us. You know, we’d been working on the Japanese angle for a long time and, you know, we’re now, you know, getting the opportunity with a lot of discussion to follow-on orders. It’s new to us, it’s new to them. We are working through this slowly but that came to us towards the end of the quarter. We’re pretty excited about it. We can’t put the name out there. We haven’t specifically asked for permission to do so.
Steve Barger: But still, that’s pretty impressive. Would you any if you sign that deal, would that affect 2015 at all and would you service that out of your China facilities?
Richard Holder: So, it may have a little bit of effect in Q4 2015 probably not much. It would be a big 2016 play and probably the second half of ’16 understand the processes you have to go through to move these products into the plant takes us, you know, three to six months to get everything homologated [indiscernible] and everything else so it’s probably latter half of 2016 for any real revenue, any revenue before that will be, you know, low production costs for test purposes and so on. We will probably service those parts out of Europe more than likely Eastern Europe, our Slovakian operation, I think we’re still working through where the best place is to do that but it is delivery into at least in part into North America.
Steve Barger: Got it. And just one last one on this topic. So, it sounds like I mean you’ve obviously got some stuff in the can in terms of outsourcing. It will come in over the next few years. You’ve got some new initiatives in place. This should all be really positive for absorption through your facilities, as that ramps up in you know 2016, 2017, 2018. Is that already captured in those longer-term margin targets?
Richard Holder: Yeah.
Steve Barger: Or is some of this kind of outside which you had expected?
Richard Holder: No, we had optimal utilization of our capacity model then and it accounted for about 1.7 almost 2 points of margin. If you recall the margin buildup chart that we’ve shown quite a bit in terms of conferences we talked about that. So, we had manufacturing footprint and then we had volume utilization and then volume utilization was primarily in the European plant. So the Europe comes back and we look at our Italian plant you know we see, you know, really attractive incremental as we utilize those plants.
Steve Barger: That’s great. I appreciate the time. Thanks a lot.
Richard Holder: Yeah.
Operator: We’ll take our next question from Keith Maher with Singular Research.
Keith Maher: Good morning. I had a question about the capital you raised, just like what you’re going to do with the money in the short-term. Do you just invested in short-term securities, do you paid down debt, just trying to, you know, help with the modeling going forward just how that’s going to impact earnings per share.
Richard Holder: Yeah, so we in this short term what we did to be very specific we paid down $130 million on our Term Loan B, we paid down $17 million on our revolver, so our revolver is now undrawn and we held back roughly 25 million in cash for projects going forward. We went ahead and executed that simply because our timing on some of the other things where working with push to the right a little bit. So, if it does manifest itself we can come back and restructure our debt and get out that to you know with the banks and raise the appropriate capital to close any deal we may have in the pipeline. I would just in general - I think that’s a great question. I would encourage anyone else there who haven’t already done so, to update their models, because I think there’s a few models on the street that has not taken into account, you know, the equity offering and the changes we’ve been trying really hard to communicate. So great question, I appreciate.
Keith Maher: And will there be a little more information in the queue some pro forma numbers perhaps.
Richard Holder: No, I don’t know that.
Keith Maher: Okay.
Richard Holder: There’s a lot more -
Keith Maher: Okay.
Richard Holder: We, James.
Keith Maher: Okay.
James Dorton: Keith, the funds we received on July 1 and then so they were put to use in the month of July so you wouldn’t see anything in the Q2 or third quarter.
Keith Maher: Yeah, I was just thinking if you had some sort of forward-looking statement awaited to that but that’s fine. And any change to your long-term like debt goals in terms of I mean I know you’ve got some goals as to how much debt you would want to take on.
Richard Holder: I mean we have a financial policy. We’ve not changed that. If we need to push that envelop a little bit for the appropriate deal we’d certainly communicate that but as of now, we stand fast on our, you know, our policy as we get bigger, we have to do things a little differently and then create more elegant debt structures and we’re looking in all of that.
Keith Maher: Okay. Alright. And, maybe just a couple of questions on the Caprock acquisition, I mean I can perhaps kind of backend to some numbers, at least revenue numbers if that contributed roughly a month I mean that Caprock could be given, you know, contributing maybe $8 million in revenue for the year. I don’t know if that’s the case if you can learn that maybe any …
Richard Holder: For this year, no.
Keith Maher: Yeah.
Richard Holder: It can contribute not for this year. No, they would contribute [indiscernible].
Keith Maher: Yeah. I was saying a run rate number but you understand that [indiscernible].
Richard Holder: Oh, run rate number.
Keith Maher: Yeah.
Richard Holder: No, I think your run rate number would be a little - probably a little higher than $8 million.
Keith Maher: Okay. Any color on just a profitability of that business and, you know, what you paid for it?
Richard Holder: Yeah, so that business is a double-digit operating profit business. It’s aimed at primarily general industrial, the electrical business servicing quite a few utilities, a little bit of medical and aerospace making module that goes into the PCU for Boeing Next-Gen aircraft. On a payment scale, right in-line with everything else we’ve done, somewhere between, you know, something less than eight let’s put it that way.
Keith Maher: Okay.
Tom Burwell: There’ll be some information in the 10-Q on the acquisition and [indiscernible].
Keith Maher: Okay. And in terms of just the overall acquisition pipeline is there any one, you know, particular area where you think you’re going to be more acquisitive? I mean now with, you know, some action here in the plastics, should we assume that we’ll see more action there we’re dealing?
Richard Holder: Yeah, well I think we always go right back to our strategic plan right? We said a couple of things in our strategic plan. We talked about the end markets, we wanted to add to the portfolio so that general industrial to find there is electrical and food power that’s medical and that aerospace. So we wanted to add in a very disciplined way those pieces to our portfolio. So, when you think about acquisition strategy, know that in part at least that’s a focus of ours as we think about it. We continue to talk about building a diversified industrial and a balanced business. So, the likelihood of us making an acquisition on the auto side of the business is slim unless we’re doing a technology buy because part of the strategic move is to balance the company 50% light auto, 50% other, which is made up of those additional pieces of those portfolio that I just mentioned. So ain’t the time to broken record, but we always come back to the discipline of the strategic plan.
Keith Maher: All right, yeah, thanks. That was really helpful. And that’s all I have.
Operator: We’ll go next to Larry Pfeffer with Avondale Partners.
Larry Pfeffer: Good morning gentlemen.
Richard Holder: Hey, Larry, how are you?
Larry Pfeffer: Doing well. So just a question on, you know, the kind of the revenue growth run rate, you know, from the numbers you guys gave sounds like Brazil may have been, you know, $6 million or so headwind, you know, so that kind of trend organic growth rate I have is about 8%, you know, I know that you’ve already got the guidance range reaffirm but is that kind of the run rate you think for trend growth in the back-half?
Richard Holder: Yeah, I mean we’re standing by our 8% number right, so 3% of that is actually what we would call pure organic, 5% would be really what rolls up adjacent growth. So taking new products into different end markets or opening up new product lines into our current end markets. So we are standing by that. I think if you look at the forecast right now, we feel pretty good about hitting that number or coming dangerously close to it in spite of the headwinds that’s in Brazil. I think these numbers are above right no Brazil, we were counting on – there is quite a few new programs in Brazil that we were – go forward will be ramping up at the end of the quarter now have been pushed to the right. So I think with that we probably would have exceeded our organic and well effectively our adjacent growth rate, but our [indiscernible] program down there was a [indiscernible].
Larry Pfeffer: And some of the contract ones you guys have detailed, do you think as you exit the year that MBC will actually be outgrowing APC?
Richard Holder: You know what it’s looking that way, which is pretty exciting to see. Mostly on the strength of some of the [indiscernible] opportunity and as we ramp up, Mexico, which is extremely exciting location for us and for our customers, that possibility certainly exists at MBC could outpace the growth in APC and that will be a – that’s a quality program that we have right now for us.
Larry Pfeffer: Absolutely. And then looking at the JV, I know you guys have talked about kind of a similar run rate earlier here in the call in the back half. What do you think the dividend you could get from that business will be this year? Do you think it will be flat up?
James Dorton: It’s – compared to last year...
Larry Pfeffer: Yes.
James Dorton: ...will fall about flat.
Larry Pfeffer: Okay. And then just lastly, I mean there has been a lot of noise obviously this year with currency Brazil, the M&A costs, what do you think some normalized incremental margins would look like this year and into next year?
James Dorton: Our normal incremental is around 32% and so we kind of hold that. I think we drift that within a strategic period to somewhere now 35%, but that’s where we play right now.
Larry Pfeffer: Okay.
James Dorton: That includes significant investments that we are making back into the business that our – we figured those that efforts will continue for some time as we build out our infrastructure. So till think like IT is done and a few other things have done, we don’t see anything much beyond 30%, 32% to 35%.
Larry Pfeffer: Got you. Well, thank you for taking my questions.
Operator: We will take our next question from Daniel Moore with CJS Securities.
Daniel Moore: Thank you, again. Most of the questions have been covered. But maybe just talk a little bit about Caprock, how it’s performing relative to your expectations and then more generally plastics and rubber. Are you in discussions with other plastics components manufactures from an M&A perspective and are we closer to sale or divestment of rubber that maybe we were 6 months to 12 months ahead?
Richard Holder: Yeah. Yeah, as I have said before – where our strategy [indiscernible] we couldn’t turn this thing into $100 million double digit operating cost of business. We have to do something different. We felt that and we feel that we need plastics and we can grow plastics and there is a lot of benefits there and we could make this thing $100 million plus business performing at 10% or 12% operating profit. We don’t think we can service the rubber side appropriate. We are in discussions with customers and others around the right thing to do with the rubber business. We – it’s a necessary business for our customers. So it’s not something that – we can’t close up shop and run, we knew those same customers that we service on the plastic side and in some cases on the metal side of the business. So we are working through let’s call it elegant exit of the business while making sure our customers are taken care of. Relative to Caprock, it is a good business. It is actually performing better than we expected and what’s more the most exciting part obviously for us are the end markets, right. So we now have utilities as our customer, we are in the electrical space with the ability to expand, we have the capacity to expand, we are also in the aerospace space and the good part about it is we are on NextGen Boeing aircraft. So we are on 737-8 and 777X and 78 Stretch. So it’s a good place to be, it’s a small business, we’ve got to put some SG&A around it, add a little bit more engineering to it and begin to grow those platforms but obviously at least in part we know that we will continue to acquire in that space to accelerate that capability.
Daniel Moore: Very good and eagerly anticipate the next communication. Thanks again.
Richard Holder: Welcome.
Operator: [Operator Instructions] And we will take our next question from Steve Barger with Keybanc Capital Markets.
Steve Barger: Thanks. One quick follow-up. Looking at your revenue pie chart you have about 8% commercial transportation. Is that all on road?
Richard Holder: No, we have our recreational vehicle, so we do a [indiscernible] vehicles. We’ve got a little heavy truck mostly in Europe. So if you want to do the crossover, it would be more like a Class 6 for us, with a Class 8 in Europe. What else is there, construction in ag.
Steve Barger: So it is kind of a mixed bag. Okay. And some of the construction in ag markets have been challenged to. Any just general view on what that commercial segment looks like in the back half and…
Richard Holder: I think we are pretty well – the call in ag market is flat. We are not a big player in the market and the biggest choke that we have is in recreational vehicle side. I believe it or not that’s doing pretty well especially since at least part of that is in the aftermarket side. So we feel pretty good about that. We think its flat going forward. For us, it’s a little bit interesting because the European truck market is actually held up fairly well and so we see that coming through our Veenendaal, Netherlands facility and we are actually trying to make some moves to see if we can get into the current build for truck which you know that cycle, it is a beautiful thing on the way up and not so beautiful when done but they are moving up right now. So we think we have some products that can get in there with – kind of do some work to get in there right now but that’s not in the plan.
Steve Barger: Okay. So it sounds like there is more pluses and minuses to that segment but overall you’ve captured it in the forecast.
Richard Holder: Yes, absolutely.
Steve Barger: Okay. That’s all I have. Thanks.
Operator: And there are no further questions in the queue at this time. So I'll turn the conference back to management for any additional or closing remarks.
Richard Holder: Thank you, operator, and thank you everyone who joined us today. That concludes our call.